Operator: Good morning, everyone, and welcome to the Lindblad Expeditions 2024 First Quarter Financial Results. My name is Angela, and I will be coordinating your call today. [Operator Instructions]
 I will now hand you over to your host, Craig Felenstein, Chief Financial Officer, to begin. Please go ahead. 
Craig Felenstein: Thank you, operator. Good morning, everyone, and thank you for joining us for Lindblad's 2024 First Quarter Earnings Call. With me on the call today is Sven Lindblad, Lindblad's Founder and Chief Executive Officer. Sven will begin with some opening comments, and then I will follow with some details on our financial results, balance sheet and current 2024 expectations before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website.
 Before we get started, let me remind everyone that the company's comments today may contain forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release.
 And with that out of the way, let me turn the call over to Sven. 
Sven-Olof Lindblad: Thank you, Craig, and good morning, and thank you all for joining us today. If I sound a little odd periodically, I've been hit hard by allergies, so I might cough now and then. I'm sure that's true for many of you with all of the flowering trees around. 
 In any case, Lindblad's first quarter results set the stage for another year of double-digit growth and record results in 2024. Craig will provide additional color on our performance this past quarter, but before he does, let me take a few minutes to discuss some of the drivers of the continued growth this year as well as some of the steps we are taking to sustain that momentum in the years ahead.
 First and foremost, the bookings strength we experienced throughout 2023 has continued into this year as more and more guests want to explore the remarkable destinations we visit. The goal to connect authentically with nature and culture is continually growing, and there is no other company in this segment with our track record or with our commitment to providing authentic and immersive travel itineraries.
 Bookings this year-to-date for future travel were up 20% versus the same period in 2023, and we expanded our overall in-year bookings growth to 4% ahead of where we were at the same point in 2023. Now it's worth reminding that 2023 benefited from significant carryover business from cancellations during COVID. Excluding these carryover bookings, the reservations for '24 travel would be well over 20% of that a year ago. 
 These carryover bookings were also one of the primary reasons for occupancies below the first quarter a year ago. Excluding carryover bookings, the occupancy would have increased versus first quarter of 2023. The majority of the carryover bookings for 2023 were early in the year, so the impact of these guests on occupancy growth will diminish as the year progresses. 
 Lastly, it is important to remember, as I discussed last quarter, that a key contributor to current occupancy levels is a 2-year loss of generating new guests during COVID, drying up the pipeline of the key past guest constituency. This effect is diminishing by the day and occupancies will move higher as the pipeline again refills.
 At the same time, there are a couple of external headwinds that we continue to deal with. The first is geopolitical events across the globe. The reality is that we've always -- they've always played a role, ebbing and flowing through the years. And we are currently dealing with 2 specific events that certainly depressed revenue and occupancy in the first quarter. 
 The Israeli-Hamas War and events in Ecuador in early January, both caused cancellations and short-term softening in future business. These kinds of events can also affect costs. Fuel, for example, has increased significantly, hopefully, temporarily due to the instability in the Middle East. Periodic disruptions may have a distorting effect on quarters, but as we continue to scale our business, they will have less and less impact on overall results.
 The other headwind is the discounting taking place with our competition in the expedition space. As 2023 evolved through the summer and fall, we started seeing more and more dramatic price actions, sometimes even 2-for-1 offerings for prime seasons in places like Antarctica. Clearly, the relationship of inventory and demand is out of balance for some of our peers as well as some desperation coming out of COVID. 
 Rather than joining the fray, given the potential long-term ramifications to the value proposition we deliver, we have remained committed not to buy occupancy and maintain price integrity, which you can see with our net yield up slightly versus a year -- versus the first quarter a year ago. There is little to no benefit in adding occupancy if yield decreases proportionately. So price integrity is key -- is a key long-term metric and essential to preserve even if occupancies move ahead of it slower in the short term.
 Given the opportunity and experiential travel, our thesis is that brand is now and will become even more important than ever. That is why we are so excited about the recent extension and expansion of our brand partnership with National Geographic until 2040. With the power of both our brands, now combined with the distribution cloud of Disney, we believe we can leverage our collective strengths to really take advantage of the increased demand while distinguishing ourselves from competition. 
 We just came off a 5-day offside on one of our expedition ships with high-level participation from all 3 entities. The purpose was to build understanding and to surface meaningful ideas that will propel us all into the future with the core theme being the power of 3.
 This was just another step towards maximizing the opportunity ahead. Since the day the new agreement was signed in November, our team, along with their marketing and sales teams have been deep into strategy and tactical plans on a regular basis to energize collective goals and build specific initiatives to drive business. Collaboratively, we have made significant progress, including a new brand strategy that incorporates a new co-branded logo with National Geographic, which we will begin rolling out later this year.
 The brand changes are settled, but more fully harness the National Geographic brand to capitalize on one of the world's largest social media followings and their extremely high awareness, trust and credibility. As we focus on maximizing the brand opportunity, we are also updating our website on both National Geographic Expeditions and expeditions.com domains to create a seamless unified booking experience.
 Last summer, we launched a completely redesigned online booking flow on the expeditions.com website and have since seen a near [ doubling ] of the percentage of our direct bookings made online. We're now actively working on the development needed to enable all those same digital features on the National Geographic Expeditions website, and we'll launch those enhancements later in this year.
 A key component of the new arrangement is the ability to leverage the powerful Disney sales network. Our teams are focused and energized on developing coordinated sales strategies, B2B marketing tactics and events and activating high-potential Disney distribution channels. The expanded license agreement also gives us the ability to sell globally. Our consumer and trade sales efforts we launched in the first -- will launch in our first new market by the end of the summer, and more will follow based on market opportunities.
 While we continue to lay these foundational blocks, we're already leveraging the power of Disney's synergy machine to execute high visibility on brand activations today. Over the course over the last few months, Disney has leaned on their marketing engine to place the co-brand in some of their most valuable visible media assets, including the Wheel of Fortune, Good Morning America, Disney+, National Geographic and even on the homepage of disney.com to celebrate Earth month.
 Bookings in the year for travel in 2024 are up 35% versus 2023 and the Disney and National Geographic marketing efforts has contributed to that result. These are just a few highlights where we're working together to create both the top-of-funnel demand and lower funnel performance for years to come. We anticipate really benefiting from this new arrangement starting in 2025 as we reach more citizens -- explorers than ever before by opening larger addressable markets through new worldwide audiences. 
 As we look to maximize the opportunity with National Geographic and in Disney, we have become even more focused on itinerary development and innovating the ways we immerse our guests in parts of the world we have been visiting for years. We have made some major changes for this year and into the future, balancing our inventory to accommodate both past and new guests.
 Two of the most significant are our focus on Iceland, which attracts a greater level of new guests; and new itineraries in Antarctica that provide flights either one way or both ways from South America to the continent, avoiding either one or both crossings of the Drake Passage and allowing people with less available time to participate. These programs from November 24 through February 25 sold out faster than anything we have ever, ever offered. And for the '25, '26 season, we will add another ship, the National Geographic Orion, fully dedicated to this approach, allowing us to connect with more travelers who wouldn't have considered this type of an expedition before. This also speaks to our ability to be nimble with regard to our product offerings.
 As we focus on driving higher returns across the fleet, we also continue to broaden and deepen our land-based portfolio, with this morning's announcement of our signing a deal to acquire Wineland-Thomson Adventures, which includes respected Tanzania Safari specialist, Thomson Safaris, with more than 40 years of experience in the country. Their portfolio also includes the historic award-winning Gibb's Farm lodge, an 80-acre sanctuary that was my favorite lodge when I was a guide in East Africa.
 Tanzania is one-time of the finest places in Africa for wildlife viewing, including famed national parks like the Serengeti and Ngorongoro Crater. And African safaris have been -- have exploded in recent years as evidenced by natural habitats growth in the region. Similar to the acquisitions of Natural Habitat, DuVine Cyclings, Off the Beaten Path, Classic Journeys, Lindblad will leverage its experience and resources to further accelerate the growth of the Wineland-Thomson brands and capitalize on the growing demand for authentic and immersive adventure travel in safaris. We do need regulatory approval in Tanzania and expect the transaction to close early in the second half of 2024. Once it does, Wineland-Thomson Adventures will create additional value for our guests and for our shareholders.
 Before I finish up, I would be remiss not to mention, this is Craig's last earnings call with us. He has been our valued CFO for 7.5 years and has been a true partner to me, the Board and the entire organization. We will miss him a great deal and wish him well on his new noncompetitive opportunity. We are working on the transition and expect to have news on this front before Craig leaves at the end of the month. 
 Many thanks for your time. For the last time, Craig, and now I will turn the call back over to you. 
Craig Felenstein: Thanks, Sven, and thanks so much for those kind words. Lindblad's first quarter performance has the company well positioned to deliver another year of record financial results as it further ramps ship operations with broader deployment of its expanded fleet and continued expansion of its diversified portfolio of land businesses. The year-on-year results are expected to ramp throughout the year as the company leverages the investments it has made in overall infrastructure and marketing and sales capabilities to capitalize on the strong demand for experiential travel. 
 Turning to the first quarter. Total company revenue of $154 million increased $10 million or 7% versus the first quarter of 2023, as we continue to offer additional trips across both the Lindblad and Land Experiences segments. At the Lindblad segment, revenue of $118.3 million increased $2.8 million or 2% versus the first quarter a year ago, led by a 3% increase in available guest nights from broader utilization of the fleet and from 1% net yield growth to $1,219 per available guest night primarily due to higher pricing and increased other revenue, partially offset by a decrease in occupancy to 76% and from 81% in the first quarter a year ago. 
 The first quarter did include the impact of softness in the Middle East due to recent worldwide events and also included the cancellation of 2 voyages in the Galápagos as we discussed last quarter. As occupancy ramps, there will be significant operating leverage inherent in the marine platform as the company attracts more and more guests while maintaining strong pricing discipline across the expanded fleet. 
 At the Land Experiences segment, revenue of $35.3 million increased $7.4 million or 27% versus a year ago, led by additional guests and higher pricing across natural habitats trips to Africa and to the Northern Lights, DuVine Cyclings tours across Latin America and Portugal, Classic Journeys walking tours in Cuba and Costa Rica, and Off the Beaten Path trips to U.S. national parks. Total company revenue growth was more than offset by higher operating costs in the quarter with adjusted EBITDA of $21.6 million, down $5.6 million versus the same period a year ago.
 Looking a little closer at the cost side of the business, operating expenses before depreciation and amortization, interest and taxes increased $15.8 million or 14% versus the first quarter of 2023, led by a $7.3 million or 10% increase in cost of tours versus a year ago. This is primarily related to operating additional ship and land-based itineraries.
 The cost of tours increase also reflects expenses associated with the other revenue, the impact of foreign currency and operating expenses and higher fuel costs due to increased usage from operating additional trips and higher pricing versus a year ago. Fuel costs were 6% of revenue in the first quarter of 2024, which was in line with the first quarter a year ago. Fuel prices have continued to rise and are anticipated to be a bit of a headwind for the remainder of the year, but overall, fuel remains a relatively small component of our operating costs.
 Sales and marketing costs increased $2.1 million or 10% versus a year ago, primarily due to increased royalties associated with the expanded National Geographic agreement and additional marketing spend to drive future bookings. G&A expense during the quarter increased $6.4 million or 27% versus a year ago, excluding stock-based compensation and onetime items, primarily due to higher personnel costs associated with the expanded operations as well as from increased credit card commissions related to final payments for upcoming itineraries and higher deposits on new reservations for future travel.
 It's important to remember that the credit card commissions are paid upon cash received with the expense recognized today and the trip revenue not recognized until the guest travels. With bookings up meaningfully in the first quarter versus the same period a year ago, the expense impact is significantly higher year-on-year with the revenue growth to be delivered in the periods ahead.
 The increased operating expenses resulted in total company net loss available to stockholders of $5.1 million or $0.10 per diluted share versus $0.4 million or $0.01 per diluted share reported in the first quarter a year ago. The current quarter also included additional interest expense of $1.1 million, net associated with higher rates and increased borrowings related to our debt refinancing in May 2023 as well as lower tax expense of $1.3 million and a $0.8 million decline in stock-based compensation.
 Turning to the balance sheet. We ended the first quarter with $224 million in cash, an increase of $37 million versus the end of 2023. The growth was driven by free cash flow of $37 million with operating cash flow of $44 million, primarily due to increased cash received for future travel, partially offset by $6 million of CapEx, mostly due to maintenance CapEx and some additional spending on our digital initiatives. Please note that after the quarter, the company did acquire an additional 10% of Natural Habitat and an additional 5% of DuVine Cycling for $16.7 million in aggregate and now owns 90% and 75% of these growing businesses, respectively.
 Moving forward, the company anticipates using approximately $24 million in cash in the acquisition of Wineland-Thomson that was announced this morning, with the transaction expected to close during the third quarter. The company will continue to explore additional growth opportunities in the year ahead, including further diversifying its product portfolio or opportunistically expanding its fleet to capitalize on the continued growth in demand for experiential travel.
 Turning to the full year 2024, the company continues to anticipate significant growth driven by higher guest counts and increased net yields across the fleet as well as additional travels across the growing land businesses. The Lindblad segment is in a strong booking position for the current year, having already booked over 94% of the Lindblad segment full year projected ticket revenues for 2024.
 Given the strong booking trends, the company still expects total revenue in 2024 between $610 million and $630 million and adjusted EBITDA between $88 million and $98 million. Due to the uncertainty regarding the timing of closing the acquisition of Wineland-Thomson Adventures, there is minimal contributions included in our expectations for this year. Please note that as we mentioned last quarter, our second quarter results will be impacted slightly by 2 voyage cancellations on the Explorer as we decided to transit around the Red Sea.
 Before I finish, I would like to take a quick moment to thank all the employees of Lindblad, including Sven and the leadership team in particular as well as the Lindblad Board for their support over these past 7.5 years. It has been an honor and a privilege to work for Lindblad Expeditions, and I know the company has a really bright future ahead as they take more and more guests to the remarkable destinations they have been visiting for decades. And lastly, thank you to all of you in the investment community who have supported the company and I have had the pleasure of interacting with in my time here. I have really enjoyed sharing our business with you.
 Thank you for your interest. And now Sven and I would be happy to answer any questions you may have. 
Operator: [Operator Instructions] We have the first question from Steve Wieczynski from Stifel. 
Steven Wieczynski: Yes. First of all, congrats, Craig, on the new opportunity. You obviously will be missed at Lindblad for sure. So -- okay, so if we think about the rest of the year, it seems like the investment and the royalties that you guys are going to be paying out for this year for the revised Disney agreement might be a little bit more than we were expecting in terms of what we saw in the first quarter. So just kind of wondering how we should think about costs associated with that investment for the next 3 quarters. 
 And then on top of that, is the right thinking here that this year is all about the investment in that new partnership? And then 2025 and beyond is really when you'll start to see the benefits from teaming up with Disney. And I think Sven mentioned that in his prepared remarks, but I just want to make sure that's the way we should think about the next, call it, 12 to 24 months? 
Craig Felenstein: Sure. So let me start with -- and thanks for your kind words, Steve. I appreciate it. So let me start with the National Geographic year-on-year payments. So as you know, we are now, with that agreement, paying a flat royalty fee throughout the course of the year. A year ago, the payments to National Geographic obviously fluctuated depending on their individual performance, because they were being paid a commission at the same time as well as the performance of the overall company. 
 So the impact in every given quarter is going to fluctuate. And the impact in Q1, when you look at it year-on-year, will be greater than it will be in some of the other quarters later in this year. So that's kind of how the year-on-year growth in the National Geographic payments will play out for the next 9 months.
 When you look at the positive impact that they're going to have, and Sven can add some additional color here, given the booking window that we do have, which is about 9 months still on average, you would anticipate the majority of the impact being in 2025 in earnest. Now there has been, as Sven mentioned, in this year, some one-offs that have been done to take advantage of their Disney distribution power and the National Geographic distribution power. And we do believe that's contributing to some of the strong booking growth that we're seeing today. But the real value and the real significant value will take place in 2025 and beyond. 
Sven-Olof Lindblad: Yes. Steve, I could add a couple of things. So if you think about the -- that we signed our agreement with National Geographic in November, right, last year. And prior to that, Disney was really not a factor in the equation. It was -- we had -- since 2004, we had a relationship with National Geographic and whatever their machine was capable of providing, and it was actually significant.
 But now the -- now since November, we're adding Disney to the equation. And obviously, their channels for distribution, in particular, and many of their ideas are incredible. I mean this is the largest entertainment conglomerate in the world. And so we believe that there is going to be significant value as a consequence, but it is going to take a bit of time to ramp up because they don't make decisions as it relates to something next month or a few weeks from now and implement them that way. It's much more of a long-term play. But we will start seeing -- we already have started seeing some results, but we will see, I think, significantly greater results starting in 2025. 
Steven Wieczynski: And then second question, I want to ask about the acquisition that was announced this morning. And I guess my question really isn't about the acquisition, but around the use of capital for that acquisition. And I guess what I'm getting at is, look, I don't think we can ignore where the share price is today and in our opinion, to us, the underappreciated long-term opportunity here with Disney and National Geographic. So to us, the share price does seem undervalued here. So I guess the question is, how do you balance doing acquisitions like this versus taking that $30 million, maybe not all that $30 million in terms of what you spent on the acquisition and essentially looking at buying back shares at these levels? Hopefully, that makes sense. 
Craig Felenstein: Yes, sure. Thanks, Steve, for the question. We always have balanced, what I would say is long-term growth and long-term capital deployment. When we look at the opportunities in front of us for an asset, an acquisition like Wineland and not get too specific in what opportunities moving forward, but when you can buy it at the multiple that we acquired that asset at, which is significantly below where the multiple of our existing company is trading at and you see some significant growth in that asset moving forward, especially when you layer in some of the expertise that we have at the Lindblad and Natural Habitat companies as well as some of the resources we have to continue to invest in those assets, you weigh the opportunity versus the opportunity that you see investing in your own shares.
 And as you know, you can't always help and identify when these assets become available. They become available when they become available. So we are continuously weighing the future growth opportunity with an asset like this versus what we believe is obviously significant upside in our existing shares. And as we move forward and we look to allocate capital moving forward, we will balance those things still between investing in our existing business, investing in M&A or returning capital to shareholders, either through buying back stock or through reducing our debt load in some capacity. 
Operator: The next question is from Eric Wold with B. Riley Securities. 
Eric Wold: Two questions for me. I guess the first one, I know that you reaffirmed the prior guidance ranges and it's only been a couple of months since the Q4 call when you first gave that. But was there anything with the cost you saw in Q1 and maybe so far in April Q2 that were not fully anticipated when you gave that guidance that would kind of need to see some relief to maybe give you more comfort in the higher end of that range than the lower end? 
Craig Felenstein: Nothing significant. I mean, the biggest one is obviously fuel. The prices have continued to rise and that has created a bit of a headwind for us, and that will continue to be the case. And then certainly, when we look at some of the voyage cancellations that we've had, the impact of not only those voyage cancellations but also some of the, what I would say, is residual softness related to some of the instability around the world would have us -- a bit of a headwind on some of our guidance here. But we gave a range -- when we gave the range back in end of the first -- or end of the fourth quarter, we still feel comfortable that we'll be within that range here moving forward.
 The biggest variables will certainly be the continued revenue generation. As I said in my remarks, we're 94% of the way sold out with regards to our revenue expectations for the year at the Lindblad segment, but that last 6% does come at a very high margin, right? So it's imperative on us to fill the rest of the 6%. And If we do that, we should be able to get where we want to be from a full year perspective. 
Eric Wold: Got it. And then second question, I can honestly understand the decision to add a highly-variable cost land-based business is different than the decision to add a new ship to the fleet. But maybe update us on kind of where you are on the decision curve to add to the fleet and kind of what you really need to see to make that commitment, whether it's a used ship available out there with some of these competitors that may be struggling or committing to a kind of a multiyear build process. 
Sven-Olof Lindblad: Yes. First, about the land company. So just one of the things that was particularly attractive about this most recent acquisition was that this is a company that's been in existence for 40 years. And in a country which is probably the wealthiest country from the perspective of wildlife in all of Africa, to get a footing in a country like Tanzania with somebody that has had that wealth of experience is really, really a meaningful opportunity and has tremendous opportunity to be developed further.
 So for us, so far, the whole concept of land businesses has been a sort of a counterbalance, if you will. With ships, it's largely fixed costs. Certain things happen like COVID. And the dynamics of that are different or the effect of that is different on ships than it is on a land company.
 But we are absolutely keen on growing our maritime business. Now there are a couple of triggers that we need to -- there are a couple of things that we need to see before we trigger new opportunities. And one of them, by the way, is there's an interesting question about building ships or acquiring ships. The business was largely built on acquiring ships, and then in recent years, on building ships. 
 Our thesis is that there probably will be ships available in the future that were built and perhaps don't have -- that weren't as successful as the people who built them hoped they'd be, maybe a polite way to put it. And so we're really, really keeping our eyes out on companies that have ships that maybe come and go. That's number one. 
 And what we want to make sure of is that we are doing as good a job as we did prior to the pandemic in filling the ships that we have, because the value of that is off the charts by comparison to any other form of investment. So making up the 10% differential, let's say, to where we are now and where we would like to be at 10%, 12% is just massively valuable. 
 And you don't want to add inventory and spread out your reach, because you're adding your cost and you're just spreading out your reach. That really isn't a smart thing to do. So we have to feel that we're at the stage where -- I mean, my goal is to have -- to feel that you can get 125% of the occupancy that you have. And the minute you envision you're headed in that direction, you can begin to trigger new acquisitions. 
Operator: The next question is from Chris Woronka with DB. 
Chris Woronka: And Craig, congrats on the new opportunity. All the best at the new place, and we'll miss you. Can we maybe talk a little bit about the comments you made earlier about the competitive environment? I guess the question would be, is the level surprise greater on kind of the level of competition that's out there in the -- some of the new entrants? Or is it more about how they're handling their pricing strategies? 
Sven-Olof Lindblad: Yes, Sven here. I think it's a combination of both. I mean, somebody obviously got ahold of a spreadsheet at a certain point and said, "Wow, this business looks like it has tremendous potential." Because when you think about it, the explosion of entries in the last 5 years is just -- is so many more ships than we ever imagined in this segment. So it's unprecedented.
 So I think to be totally honest, I think what people have probably done is underestimated the complexity of expedition travel. You're going to remote areas. You have to understand geography. You have to have the right teams or else you're going to get into trouble. You have to have good, deep relationships with the people and the institutions in those countries, et cetera, et cetera, et cetera. So it's actually quite complicated.
 The other thing is I think people maybe have underrated the intelligence of the audience in some instances, because the audience is very sophisticated that does this kind of thing. And they care deeply about quality. What is the quality of the staff, what is the quality of the experience, how well thought out are the itineraries, et cetera, et cetera, et cetera.
 So -- and then brand, of course, as I mentioned earlier, is, I think, an important thing. I mean, obviously, our brand is very, very well known to a very, very small number of people. I mean -- because when we started this business, expedition travel was not a big category. But for people that have any interest in that category and that includes the trade, we are very well known in that regard. But obviously, National Geographic is a brand that everybody on the planet knows. And so the combination of the two creates something, I think, quite meaningful -- very, very meaningful, that helps those interested in expedition travel sort of migrate in our direction. Hope that answers your question. 
Chris Woronka: Yes. Yes. And just a follow-up. On the cost side, and I totally understand and heard what you mentioned about the National Geographic fees and the changes there. But on the other things and maybe even look at it ex fuel, is there anything to suggest that you see moderation on the pressure coming in the second half? I know some of the costs can be kind of lumpy, insurance, things like that. I mean, is there any visibility into lower increases moving forward? 
Craig Felenstein: Sure. And thanks for the comments earlier, Chris. So there's a couple of things on the cost that will, I would say, mitigate a bit. One is, as you can imagine, the first quarter of the year is a big quarter for us from a cash receipt perspective, both from the deposits on future travel as well as down payments for new reservations. The credit card fees are definitely higher in Q1. So the growth in Q1 there would be higher than it would be later in the year.
 The second thing is there are some timing issues associated with some of the land company costs that come into the first quarter. You can see the flow-through from a land company profitability perspective in the first quarter is not what it is later in the year. So you should see, what I would say, better margin, I would say, on the land business, certainly in the rest of the year. So those are the big ones. 
 There's a little bit of currency hit in the first quarter related to some of the currency movements and some of the operations that are land companies as well. So that should abate itself as well. So those are some, what I would say, is one-offs that you'll see not flow through the rest of the year. 
Sven-Olof Lindblad: Can I add something? So I -- if I could just add one thing. Sven here. Because Craig and I talk about this a lot, obviously, there is an expectation on the part of a lot of people for the occupancies to go up, rightly so, and they will go up, by the way. But more important than occupancy in the short term is price integrity in the long term, because what's -- one of the things you really sort of analyze in a business like this, let's say -- you can get to -- we could get to 100% occupancy tomorrow if we took on some really bad habits that would have a very negative effect on the business long term.
 So ships -- small ships, expedition ships cannot function at revenues that are 50%. It's not sustainable. And so we -- our emphasis is let's do -- let's drive up occupancy. But at the same time, let's make sure we do not invalidate price integrity, because once you do too much of that, it's hard to come back, right? So I just wanted to clarify that point. 
Operator: [Operator Instructions] The next question is from Alex Fuhrman with Craig-Hallum Capital. 
Alex Fuhrman: Craig, sorry to hear that you're going to be leaving the company. Sven, you mentioned that some of your geographies, I think, Antarctica in particular, you're seeing a lot more competitive pricing from some of your competitors with the 2-for-1 deals. Curious, do you think a lot of this is ultimately short term in nature? Or do you think given the nature of your small ships and how nimble you can be, are there maybe opportunities to reposition some of your ships for part of the season to even more remote, less-visited destinations where you have more pricing power over time? 
Sven-Olof Lindblad: Yes. Well, Antarctica is about as remote as you're going to get. But we're -- there is competitive price points, but we're doing very well in Antarctica. So I'm not -- despite the fact that there's an overwhelming number of ships down there, we're doing well. And one of the reasons why is because we've really -- like what we did with developing our fly-in program for one of our -- so we had the dilemma where we had a ship -- that was an older ship, very nice ship, by the way, the National Geographic Explorer next to our 2 new ships, the National Geographic Endeavour and the National Geographic Resolution. 
 And there's a natural inclination on the part of people who want to buy something that's new. So the ships were doing well and the Explorer was lagging a little bit behind just because again, she was older and not the new thing. So what we did is we created a whole different program incorporating the flying into Antarctica, allowing people with less time to go there. And that was the perfect counterpoint to the dilemma. We didn't like discount it, we just changed the idea. And people just bought it and it filled up instantly, essentially instantly. 
 And so there are lots of levers you can deploy in order to change your destiny. And it isn't just -- obviously, it isn't just price. Geography is absolutely key or how you operate in a particular geography. So there are a variety of ways you can kind of get the job done. In this case, it was by creating a totally, totally new idea. So the Explorer and the new ships were, in fact, not in competition anymore. 
Operator: Thank you. We have no further questions, so I will hand back to the management team to conclude. 
Craig Felenstein: Thank you, operator. And thank you, everybody, again, for joining us today. And thank you for your support over the years, and I look forward to finishing up the next month. And if you have any questions, please let me know, and please let us know. We're happy to answer them today or in the future. Thank you. 
Sven-Olof Lindblad: Many thanks, guys. 
Operator: Thank you very much. This concludes today's call. Thank you for joining. You may now disconnect your lines.